Operator: Welcome to the NetSol’s first quarter fiscal year 2010 financial results conference call. (Operator Instructions) It is now my pleasure to introduce your host, Christopher Chu with Grayling.
Christopher Chu: Hello everyone and thank you for joining us on the NetSol Technologies fiscal first quarter 2010 financial results conference call for the period ending September 30, 2009. I hope you have found the PowerPoint presentation we prepared to compliment the call and will follow along with us. The slide numbers we refer to are found at the bottom of each slide. The presentation may be found on the main page of the investor relations section of the NetSol website located at ww.netsoltech.com. In addition, I would like to remind you that we are recording and webcasting today’s call. The webcast archive of the call will also be available in the investor relations section of the NetSol web site. Please proceed to Slide 2 as I read a brief Safe Harbor statement. This conference call and presentation may contain forward-looking statements. These statements reflect the current beliefs of NetSol Technologies management as well as assumptions made by and information available to NetSol. Forward-looking statements are not guarantees of future performance and involve risks and uncertainties. Actual future results and developments could differ materially from those set forth in these statements due to various factors. These factors include amongst others changes in the general economic and competitive situation, particularly in NetSol’s interests and markets and additional future results and developments could be affected by the financial markets like fluctuations in exchange rates in national and international law, particularly with regard to tax regulations. The company assumes no obligation to update forward-looking statements. Moving to Slide 3, we are pleased to have presenting today Mr. Najeeb Ghauri, NetSol’s Chairman and Chief Executive Officer. He is joined by Mr. Boo-Ali Siddiqui, NetSol’s Chief Financial Officer and Mr. Salim Ghauri, President of Global Sales from Lahour and Beijing respectively; joining today’s call and will also be available in the question and answer session. I would now like to pass the call over to Mr. Najeeb Ghauri.
Najeeb Ghauri: Hello everyone and good morning and thank you for joining us today. If you’d join me on Slide 4, I’ll start with the top line overview of key perspectives of our fiscal fourth quarter performance. I’m pleased to report that our fiscal fourth quarter was highlighted by significant ongoing improvements including sequential double digit revenue growth and improved bottom line profitability all driven by a 100% sequential growth in our core NetSol financial suite license sales. Overall, this further confirms that NetSol is ramping up its operating international performance into a growth phase following the recession driven cycle that we believe bottomed out in our fiscal two three, two quarters back. We are seeing some very exciting customer wins in market trends that support our view for further long term revenue and profitability expansion going forward. Overall, total revenue for the quarter was $7.6 million, up 11% sequentially given that the new customer demand and down 18% year over year, reflecting the challenges of the global economic downturn compared to what was an exceptionally strong fiscal 2009 first quarter which was among the strongest in the company’s history. This marked our second consecutive quarter of double digit revenue growth. Based on the global streamlining activities we put in place in fiscal ’09, and ongoing cost efficiency measures, NetSol is obtaining once again historical growth margins of 53% in Q1 of 2010. This compares with 37% in the sequential quarter. Our net margins also improved materially in Q1 compared to the previous quarter. Increased sales and improved operating performance drove further down to the bottom line as we recorded a 71% reduction in net loss equal to less than $0.1 this quarter, nearly a break even position. On a non-GAAP basis, we recorded a 117% sequential improvement in EBITDA profitability. Overall we believe we are making excellent progress towards achieving our GAAP EPS profitability as reflected in our Q1 results. Moving to Slide 9, let’s look at some of the key factors driving this new momentum. From a macro level, we are seeing the new global economic activity opening up previously frozen results as well as new purchasing decisions, realizing their need to move ahead with technical investments in software solutions to be competitive and certain markets accommodate strong demand such as what we are noticing in China. This improvement in global business activity is notable in two of the hardest hit sectors where we have significant presence, automotive and finance. It gives me great pleasure to say we had NetSol financial wins in both sectors and the sales continue to gain strength which offers further optimism. Another key trend we are seeing is that our multi-national blue chip customers are increasingly looking for global software solutions to meet their financing needs. This is an extremely important trend as we leverage the strength of existing clients to up sell into additional geographies or optimally into a global sales agreement to support global deployments of our NetSol financial suite. Multi-currency and multi-lingual capabilities of our solutions combined with the flexibility of our modular software components make it a perfect solution we match to the complex needs of global customers. Our customers are looking for proven solutions which can be implemented quickly from one vendor with one solution. Further supporting this trend is the again of installed legacy solutions which increasingly cannot handle the volume and complexity of our clients’ finance needs. These legacy systems are now virtually impossible to update and must be replaced. NetSol can design, implement and support a new solution and once installed, these solutions typically have longer life spans, creating recurring revenues around service and support as well as license upgraded. We believe we are in a sweet spot as larger software providers view this a very complex niche market, requiring high levels of investment to build a quality asset based lending solution, but a small company such as NetSol, we see this so called niche market offers a tremendous opportunities for growth worldwide and no competitors. Our 13 years of expertise and investment in our products puts us in a unique position to grab market share across a truly global marketplace. As an example, we saw one of the worlds’ leading software vendors attempt to build a custom finance solution over seven months before they pulled out of the project and NetSol was brought in. We implemented a top end solution in the shortest possible time. Going forward, we have updated our NetSol financial licensing structure to incorporate all the license sale upgrades previously linked to the volume of usage on our platform. This will ensure our clients have ample infrastructure to handle the organic growth of their business as well as provide them important formal license sales, license sales upgrades which allows us to grow with the success of our clients. We more recently saw successes with the new license sale upgrade model in a major auto manufacturer operating in China. China continues to be a major growth driver for our business, and they are the number one market share position for lending software solutions while auto leasing is a very young industry in China, with the largest population among the fastest growing auto sectors in the world. We are seeing continued strong demand in the market and as we previously reported, our investing in China increased local resources to further capitalize on the vast opportunities we see there. Another strategic driver of our business continues to be joint ventures. Our extended innovation joint venture with the innovation group continues to perform well and we see excellent opportunities for excellent growth there. We also continue to deploy our Atheeb NetSol joint venture on business opportunities in Saudi Arabia and the broader gulf region. The Middle East is well funded with vast petroleum driven dollars and investing in Atheeb infrastructure in Saudi Arabia, with a major local conglomerate presents new opportunities for IT services and solution projects. We have already seen growing sales activity and believe this will be a new revenue driver going forward for us. These joint venture and partnership activities provide highly cost efficient ways to penetrate new global markets with our system with local partners with key relationships on the ground. Lastly, the streamlining of our global infrastructure under our previously announced is providing a highly efficient operating platform bringing operating expenses in line with revenue and helping restore margins and profitability as revenues begin to ramp again. If you move now to Slide 6, we’ll walk through how the new momentum fit into some key customer wins and pipeline opportunities. Select NetSol wins in the fiscal quarter of 2010 included a growing relationship with a large Chinese bank and NetSol Finance automated the Mexican affiliate of Nissan Motor and our existing relationship with Nissan global, a large Netherlands based finance company, a major U.K. based short-term company as we saw some fresh penetration of the European market with our NFS solutions, and enhancement in maintenance and development revenue with existing U.S. based partners. Complementing the success in financial activities we are also seeing some large potential opportunities in the government sector for IT services particularly in the government and defense sectors. Two large opportunities we have mentioned in the past have continued to move forward include, a previous bit for a land management information system project which has been revived with the province of Punjab in Pakistan recently. NetSol stands as one of the final two bidders for this potentially large government contract with anticipated selection later this fiscal year. And secondly, our joint business with a major U.S. Defense contractor for a multi-million dollar IT services project around the digitalization of the Pakistan Military Forces as well as in automatic command and control system. We continue to work actively in both major projects and look forward to reporting any positive developments when they are material. This concludes my overview. If you turn to Slide 7 for the financial review, I’d like to pass the call to Boo-Ali Siddiqui.
Boo-Ali- Siddiqui: Good morning everyone and thank you for joining on today’s call. I would like to pick up the financial review by moving to Slide 8 when you see NetSol’s revenue performance over the last five quarters. In the first quarter of fiscal year 2010 total sales were $6 million reflecting our second consecutive quarter of sequential revenue growth as our business rebounds from the global recession, low water mark recorded in the fiscal third quarter 2009. The 11% sequential revenue growth in fiscal first quarter was driven by a near doubling of license revenue. Slide 9 shows revenue by business. For the fiscal first quarter, as a percentage of total revenue IT Consulting and services fees were 14%. License fees grew were 17% of revenue and maintenance fees stayed relatively stable at 24%. On a geographical basis, for fiscal first quarter of 2010 as a percentage of total revenue, Asia Pacific was 55%, North America 23% and Europe 12%. I would like to highlight here that North American services and deployment revenues through the quarter combined with ongoing [inaudible] and realignment of U.S. office space expense contributed to positive net income for our U.S. operations, a market where we continue to see tremendous long term potential for growth. Moving on to Slide 10, and a look at GAAP EPS., net loss after dividends to common shareholders for the quarter was $264,000 or a loss of less than $0.01 per diluted share versus GAAP net income after payment to common shareholders of $0.04 per diluted share in year over year. Sequentially, our GAAP net loss was reduced by 71%. Non controlling interest income previously known as non interest income was $1.1 million for fiscal first quarter. Non controlling interest income is related to the non controlling interest in earnings announced as net income attributable to minority owners, not connected to NetSol’s financial earnings. Slide 11 shows NetSol’s EBITDA performance on a quarterly basis over time. Fiscal first quarter EBITDA income totaled $1.2 million or $0.04 per fully diluted share compared to EBITDA income of $2.3 million or $0.08 per fully diluted share in the year comparable period. Sequentially NetSol’s quarterly EBITDA profitability more than doubled, rising 117% as we see the benefit of rising revenues on our streamlined space. Just as a reminder, EBITDA is defined as earnings before interest, tax, depreciation and amortization. The company’s EBITDA has a major obstacle in operating expense. Investors are cautioned not to measure productivity or the financial performance under generally accepted accounting principals. Net income as presented may not be comparable to similar types of measures reported by other companies and therefore, the information should not be considered in isolation of net income or cash flows as determined under GAAP. We believe EBITDA is one of the best measures to underline productivity for our business. I would now like to turn the call back to Najeeb for some closing remarks.
Najeeb Ghauri: Before we open the call to questions, let’s move to Slide 12 and let me provide some top line perspectives around our financial objective and financial performance. Our goal is to focus on further sequential improvements in quarterly revenue to drive bottom GAAP and EBITDA performance. We see bottom line profitability to be driven by sales growth as well as ongoing efficiency measures. This includes a strict focus on returning to quarterly profitability in the near term. We continue to focus on a quarterly GAAP position on a run rate of approximately $8 million on a GAAP basis, and six point improvement on a cash basis. I’m very pleased to say that our sales continues to strengthen, particularly in China, Asia Pacific and the Kingdom of Saudi Arabia where we have continued to focus on our recently established joint venture. As we reported last quarter, we also continue to pursue some large opportunities in the government and defense sectors. Overall, we are quite optimistic on our outlook for our fiscal year 2010. With that I’d now like to turn the call over to the operator to facilitate the question and answer session.
Operator: (Operator Instructions) Your first question comes from Joe Giamichael – Rodman & Renshaw.
Joe Giamichael – Rodman & Renshaw: You’re on the path of what appears to be sustainable profitability and subsequently closer to a number of successive contract wins yet your stock has remained flat despite all of this positive news. I have to assume that investors are telling us that this is sort of a blip and this type of environment is not sustainable. Can you talk a bit about the business environment as a whole and how NetSol’s opportunities fit into it?
Najeeb Ghauri: I think what we demonstrated in this earnings and the previous quarter that we have taken revenue from the most difficult time in the recession out of the recession and utilized our operations by controlling cost at every level. As a result you see the reduction in our operating expenses, and we just are really close to break even as you can see. I believe overall our business is quite strong and there’s a surging demand worldwide, and we’ll be able to capitalize as we go forward. I think Salim can give you more general detail on the business and outlook for regions that I am really encouraged by the opportunities in front of us especially world wide and how we can believe we can structure our top line and bottom line growth.
Salim Ghauri: What I’m seeing here is a real opportunity for NetSol. As you know we have been closing a number of deals quarter after quarter, but this is my first trip in a long time. We have actually seen a new influx of foreign banks and new joint ventures being formed, to set up leasing companies, auto and companies which are prime targets. So actually we see now good momentum from where we were six months ago and as Najeeb said before, I think we hit rock bottom about two quarters ago and we’ve seen a good upward trends from last quarter into this one that further solidified that trend. The way we’re looking at these numbers the backlog is looking very, very solid. We are actually way ahead in our backlog in terms of finding business to where we were forecasting to be and we are only just in the first quarter of the fiscal. So I think it’s tangible evidence for us to say that I think we will sustain this quarterly performance and maybe improve it not only in China but we are starting to see a good trend in the U.S. as well as Europe which is our NPE subsidiary. As you know we signed significant new contracts in our European business. So we see a general upbeat sentiment globally, but particularly in China and as Najeeb said, in Saudi Arabia.
Joe Giamichael – Rodman & Renshaw: Are you confident that that upbeat environment is one that is going to allow you to capitalize to the point where you’re consistently back in profitability on an enterprise basis?
Najeeb Ghauri: A lot of people have called and have said there is definitely growth coming into many markets, but China as you know never really had a recession. So for China and other emerging markets, we are very, very confident that we will continue to grow. U.S., we are starting to see the first signs, so again nobody can predict but certainly we are seeing more interest in our products and we have turned a profit in the U.S.
Boo-Ali Siddiqui: That’s right. We have gross profit for the first time in a very long time in the U.S.
Najeeb Ghauri: If you look at our business model and our products we have built over the last 12 years, this is a very unique solution we have and perhaps the only company, particularly in China and even in the U.S. market has this which is now in each end to end solution. I don’t think any competition can brag to have this kind of solution and has such a fine customer base. Look at the customer names. What is it from turning to us which we believe why we’re so bullish, is that as we started to ramp up our marketing efforts, coming out of this very tough time in the last two quarters, I believe this company has the potential, the kind of product that we are in the process of [inaudible] making for the government. So I am very confident that NetSol’s suite will be a big winner in our space not only in China but of course a good market in North America and Europe. So we’re pretty confident.
Joe Giamichael – Rodman & Renshaw: Just to touch upon the contract wins that you’ve posted in the past several months, can you again explain to us the economics of the contracts, from the standpoint of the announcement through how the revenues tend to be recognized. I guess what I’m getting at is when should we start to see or have we started to see the ramp up as a result of these contract wins?
Najeeb Ghauri: I can tell you that you’re starting to see, we saw the increase in license revenue and from services revenue that has been as a result of some business that we signed in the quarter and maybe some in the previous quarter. With the license fee we don’t take all of that in. I believe we spread it. And all services revenue is also driven by milestones. So again as I said, the backlog is very strong and that will filter into subsequent quarters. So what gives us comfort is that we are 80% in our backlog to where we ended last year, and that’s because we expected around $36 million for the year in total revenue. I believe we’re already 80% of last year already in terms of signed business. That’s quite a healthy position to be in where we have three more quarters to get the rest of the percent to be flat. And then the growth comes from there.
Joe Giamichael – Rodman & Renshaw: Outside of these normal course of business contract wins, there are two much larger opportunities that are out there. There’s the defense contractor and the tech opportunity with Pakistan and the land deal that you’ve discussed. Can you give us a sense for what your timing is for either in terms of decisions being doled out and/or what some of the variables around that are.
Najeeb Ghauri: The defense project is obviously as we announced a few months ago, the scope and size is quite phenomenal, but we’re also dealing with an environment where our potential client is quite busy with dealing with challenges there. So that may have delayed the process but we’re still in the running with five bidders and NetSol would be when the customer is ready to now select three. I believe this is a project which is they have the budget, even more critical under today’s environment. So we’re pretty confident that this will happen at some point. But the sector as I said, the presentations in Italy, is not affecting any of the revenue or bottom line in our internal projection for 2010. When this contract happens we will make a special announcement to give some more detail on what it means to the top and bottom line. Secondly, I talked about in my press release, it has been revised recently. There was a clause to license almost a year, but Punjab which is where we have our headquarters, the development center is much more aggressive in bringing IT solutions. We still believe we are in a league with our other competitor. So that’s the situation as of yesterday and it looks better than what it looked a quarter ago. Both of these are not factored in our projections for 2010 yet. We have to rely on our core business which are able to talk about and that is very solid and strong and the upside is quite high.
Operator: Your next question comes from Matthew Weiss – Maxim Group.
Matthew Weiss – Maxim Group: I had a question on the revenue mix. Obviously we saw license come back in this quarter and obviously that’s going to have an affect on gross margins. I was wondering if you could speak going forward into ’10 how you’re looking at the mix there. Obviously it’s to your benefit to gather as much license revenue as possible to get follow on business, but I know there’s some things out of your control related to timing. But could you talk about what you’re thinking there in terms of the relative contribution going forward. Do you see that base in license revenues and how that correlates to your gross margin assumptions?
Boo-Ali Siddiqui: The maintenance side of things are pretty much on the 25% mark and what fluctuates is services and license and we believe we can have services and license, that’s where we ideally want to be. So at the moment it’s 43/33 and if we can be somewhere around 36% to 37% on license and services that would be for us a pretty optimum position in terms of growth and if we can keep that rate, then it’s very, very healthy gross margins.
Najeeb Ghauri: I’m looking at the global picture. We believe that the financial suite license and services, revenue license and maintenance, we’re looking at comfortably total revenue in the first year alone, the revenue at 40%. That includes our joint ventures and public sector. So what it shows us is a healthy trend. As you’ve seen in Q1, we doubled the license sales from a smaller base, but the license sales are peaking in demand because of the product solution we have and China’s playing a big part. So I think if we get to 70% of the license, and services and maintenance business that will really improve our margins tremendously. That’s where you have more effective lucrative margins at the more end sales and the more maintenance from those sales. So it’s a good position for the company compared to a year ago and it’s just for us to continue to push license sales across the globe.
Matthew Weiss – Maxim Group: On the profitability, EBITDA you put a nice sequential rise. Quantitatively you could call a sequential improvement to Q2 for revenues. You sort of feel comfortable with what you put up there in terms of your EBITDA margin at 16%. What are you targeting for fiscal ’10, around this range, slightly move up quarter to quarter as we go through the year. It seems that a lot of the profits have been realized in the quarter and the past quarter so how do we think of that going forward?
Najeeb Ghauri: Our EBITDA has been in the range of mid twenties, 25% if I remember the numbers correctly. So our goal would be to exceed 20% in the coming quarter and hoping that the top line will help achieve that goal.
Matthew Weiss – Maxim Group: 10% in Q2, is that what you’re targeting?
Najeeb Ghauri: We’re targeting, yet. I’m not projecting that.
Matthew Weiss – Maxim Group: Do you give a geographic breakdown of revenue? I don’t recall if you historically do that.
Najeeb Ghauri: In the Q, you’ll see the breakdown. We mentioned were 65% in Asia Pacific partly because first quarter was a bit slow and we signed new contracts and there’s a gain of very positive turn around in the economy in Europe, so we believe that you’ll see 20/20 between U.S. and U.K. and then the remainder in Asia Pacific.
Matthew Weiss – Maxim Group: So you are comparing some data points coming out of that negative out of Europe suggesting that things are lagging recovery elsewhere. Is there something else that things are moving in the right direction in Europe?
Salim Ghauri: Absolutely. There’s still technically a recession in the U.K. but we found that there is a lot more interest in the product than there was six months ago. There is a time lag here and maybe it’s good for us, the spending is coming in before they go into growth. But we signed two contracts which we, the first two contracts we signed in nine months to a year and we’ve got quite a few interesting prospects in the pipeline. I believe that U.K. will do a lot better than they did last year.
Najeeb Ghauri: U.K. especially we have really done tremendously well given the fact that we have really downsized the head count there and leveraging both in Europe and the U.K. our capabilities in product and that is really helping our margins without adding more programmers and developers we are able to support much more efficiently, so that will improve our bottom line as we sell more licenses in the U.K. and U.S. markets.
Matthew Weiss – Maxim Group: Of that 55% in Asia Pacific, how much of that percentage is out of China in particular?
Najeeb Ghauri: Half of that in my view, because we definitely have strongest pipeline than we ever had before and because the one in the whole region and we added more personnel in Bangkok and we are also growing market to cover additional locations for a bigger customer base in Bangkok. And China has a lot more new sectors including banking where the team is working diligently to explore those and pursue the opportunities so that will have a major contribution.
Salim Ghauri: I think China will be our big surprise going forward. We’ve become very acclimatized here now, established in Beijing, and we have customers in Shanghai. We are getting a lot of traction and interest because this product is really one of the key drivers for the financial services business so like in the U.S. 30 to 40 years ago, with deregulation. In China credit has been deregulated and the financial companies and finance companies, if you can imagine with the kind of growth there is in China, who would not want to be here? We are now finding every big name you can imagine from any part of the world. They want to set up leading companies in China. And NetSol is by far the number one vendor of these end to end solutions, so we are getting our pricing, we’re getting prospects and we’re getting very busy. So I believe China will be the surprise package and a mix in revenue will get bigger. And there are plans to have a bigger presence in China and that’s underway and you’ll see more news coming in the next few quarters.
Operator: Your next question comes from [Daniel Nye – Cowan & Company]
[Daniel Nye – Cowan & Company]: On your accounts receivable, when I compute it against your revenues, you’ve got about five months of receivables. What are you doing to bring that down?
Boo-Ali Siddiqui: We’ve seen a good collection in last quarter and definitely there has been slow process the last two months. I believe the last quarter and the third quarter we should see cash coming in to the company from these customers. We took the potential of that provision in previous quarters. We didn’t take anything in this quarter because we don’t foresee any add up from the existing receivables, so we’re feeling good about it. Definitely the customers are picking up. In Europe there is a pick up in meeting obligations, but in Asia we don’t have concerns as of now where any receivables that drift.
Salim Ghauri: I think the biggest part of those receivables is in China and typically China is slow in payment because of the broker’s fee and how long it takes to get a payment into our accounts. That’s one reason. The second reason is quite a few of the companies we’re doing business with are still not with the license. They haven’t received their finance license to trade. So obviously systems have to go in ahead because without the system they cannot even do an audit with the China Central Bank. So our systems go in and we start billing the client as we complete the work, but we do make a special provision with the client upfront that we will allow them extra time to pay because they in fact have a technical issue in paying before they have a company set up in China. So a lot of that is due to the differences, and I’m dealing with those clients on a daily basis where we know the company’s set up. And what happens then is as soon as they’re set up; they send us one big chunk.
Najeeb Ghauri: If you look at the cash flow that we published this morning you can see that actually the incoming cash is really positive in Q1 so to me, it’s a healthy trend, but right now it’s a big slow from China but that is not alarming.
[Daniel Nye – Cowan & Company]: Just to follow up how long do you have to wait between when you built the work and the company gets set up and the time it takes to pay you. How long is that period for the Chinese companies?
Salim Ghauri: It’s getting shorter. I can tell you that much. It used to be take up to a year, but now I would say between six to nine months. So you’re showing five months worth. That’s quite healthy actually. We’ve had instances very early days in China where it took a year and a half before the settlement and obviously there was some concern whether we should provide against that, but again our experience is that these are blue chip names and so they do pay. So we’ve had very little debt provision and I don’t foresee it now.
[Daniel Nye – Cowan & Company]: If you can help me understand how much cash you have on the books and how much debt, just because I need to understand what that restricted cash is and what that’s against. So if you can break down your cash and debt position.
Boo-Ali Siddiqui: The cash overall as we reported is about $4 million net cash in Q1. That is if we pay out the CD of $5 million with the bank here. There are liabilities obviously, the long term with the investors, close to $8 million and other ongoing bank liabilities in different locations. So financially it hasn’t gone up from the previous quarter. If I look at the Q4 2009 fiscal versus Q1 the recent quarter, it’s pretty much flat and our goal is to bring down the liability and improve the cash position to one pushing hard on the collection and trying to update the liability.
[Daniel Nye – Cowan & Company]: Those are through convertible notes, right?
Najeeb Ghauri: There are two notes as you know, on $6 million note [inaudible]
Operator: Your next question comes from Joe Giamichael – Rodman & Renshaw.
Joe Giamichael – Rodman & Renshaw: Given the backlog that you just previously discussed, are you at a point now where you would be comfortable in terms of giving any form of revenue guidance over the balance of this year or at least a target?
Najeeb Ghauri: I believe we are very confident about the backlog and all the things that are happening in different markets for us. We’ve gotten bullish about production, about the top line and bottom line, but it would be prudent to watch a couple more quarters and see if the global economy is settling down and hopefully the deals that we’re working on come in. So at this stage we’re better off updating the market each quarter through earnings calls and in between if we feel that it necessary, we’ll come back and announce that. So right now, we’re really happy with the backlog which is quite solid, so I think we’ll leave it at that.
Salim Ghauri: If you want to do some sums, we’ve just started the second quarter. We have a $22 million to $23 million backlog in business. Actually we did $26 million and we’ve got nine months to do more than that. So we are very confident that we can do better than last year and hopefully each quarter will further the story and move in the right direction.
Najeeb Ghauri: Our goal is to always do better than the analyst’s estimate, so you can do your own modeling.
Operator: Your next question comes from [John Roster – Private Investor]
[John Roster – Private Investor]: I have been an investor for some time and do you see yourselves having to do any more capital raises in the near future?
Najeeb Ghauri: Not in the near future. While we’re trying to manage our company with our own cash flow, absolutely the responsibility is to make sure when is the right time, is there a right time, in the short term, long term to look at opportunities but we are not foreseeing anything at this stage.
[John Roster – Private Investor]: One of the things that strikes me is the dilution of the stock and the number of shares outstanding and when you look at it over the long last four or five years, where our revenues and where we are today versus where we once were, I just get the sense that we’re just undercapitalized and so I know you’ve taken the position that you’ve always looked for merger candidates and you’ve done the acquisition. But wouldn’t it make some sense to maybe look in the other direction and have some larger company take us on?
Najeeb Ghauri: Within the company, the Board and the management team, we have been approached but the timing has to be right. We are working with some very key partners, a very big diversified group and those kinds of relationships we believe can become a critical partner also and not just doing business. But it’s a question of timing. I think Joe mentioned at the beginning the stock value. We buy from time to time to show our confidence. But I think eventually you will see a turn around in the market and they will realize our product is a hidden gem in this space that we have business, the product, our quality standards and our customers worldwide. So it’s a matter of time really when you see the value much higher than it is today.
[John Roster – Private Investor]: And just a request if I could, should you look to do any more capital raises, would it be possible to ask your current shareholders across the board to be part of that capital raise. Just from my perspective, I get the sense that I would feel left out to never get asked and other folks get to put up that money and get attractive terms, and us shareholders who are in day in and day out don’t get to have those opportunities. So I would just respectfully request that some day if you do raise more capital that you would come to us as well.
Najeeb Ghauri: I appreciate you comment and we’ll keep it in mind I promise you that.
Salim Ghauri: Are you a private investor or are you representing an institution?
[John Roster – Private Investor]: I’m a private investor. I have a large number of your shares.
Salim Ghauri: Thanks very much for your confidence and I know at times it can be a bit frustrating and as you can imagine we’ve owned for the company for 12 years, and we haven’t taken an exit. We must believe in something and we are building a great franchise. I think somebody will realize the value of this franchise at some point and if we get the right approach from the right company, I can tell you if the approach is right and if the price is right, we can look at it. But I believe today, it’s too soon in terms of we’re rebuilding the company and we see great prospects. We’ve never thought of exiting. So if you hang in there with us, we do have a niche and we believe we’ll get attracted by the right company.
[John Roster – Private Investor]: I have never sold a share. I have only purchased additional shares.
Najeeb Ghauri: Thank you so much. We appreciate that.
Operator: There are no further questions. I would now like to turn the floor back to management for closing comments.
Najeeb Ghauri: Thank you for joining us today. We look forward to talking to you again next quarter to provide an update on our progress. Thank you all and have a good day.
This presentation may contain forward-looking statements relating to the:
development :